Operator: Good day ladies and gentlemen, and welcome to the Crexendo Fourth Quarter and Year-End 2021 Earnings Call. At this time, all participants have been placed on a listen-only mode, and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Steve Mihaylo. Sir, the floor is yours.
Steve Mihaylo: Thank you, Catherine [ph]. Good afternoon, everyone. I'm Steve Mihaylo, Chairman and CEO of Crexendo. I want to welcome everyone to the Crexendo year-end 2021 conference call. On the call with me today are Doug Gaylor, our President and COO; Ron Vincent, our CFO; Anand Buch, our CSO; and John Brinton, our CRO and Jeff Korn our General Counsel. And you’ll notice I spelled our General Counsel instead of saying CGC. I'm going to ask Jeff to read our Safe Harbor statement. After that, I will give some brief comments. Ron will provide more detail on the numbers. Doug will provide a business and sales update. And then we will open the call up to questions. Jeff, would you please read the Safe Harbor statement?
Jeff Korn: Yes, sir. It would be my pleasure. I want to take this opportunity to remind listeners that this call will contain forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for such forward-looking statements. All statements made in this conference call, other than statements of historical facts, are forward-looking statements. Forward-looking statements may include statements that are limited to words like believe, expect, anticipate, estimate, will and other statements expectation identifying forward-looking statements, although no such words are necessarily required. Investors should be aware that any forward-looking statements are based on assumptions and are subject to risks and uncertainties that could cause actual results to differ materially from those discussed here today. These risk factors are explained in detail in the company’s filings with the Securities and Exchange Commission, including the Form 10-K for fiscal year ended December 31, 2021 and the Forms 10-Q as filed. Crexendo does not undertake any obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. With that, I'd now like to turn the call back to Steve. Steve?
Steve Mihaylo: Thank you, Jeff. I want to start by thanking all of our team members, and particularly our accounting team. The effort of consolidating accounting databases, departments as well as managing to close out the fiscal year was a path that took effort and detail. Our accounting department team did a superb job, and I am appreciative of all of their efforts. The results far exceeded my expectations. In a word, they were excellent. I am particularly pleased with the fact that consolidated total revenue for the fourth quarter increased 108% and that 2021 total revenue increased 71% year-over-year to $28.1 million. These are substantial numbers and are just the start of our growth. As a testament to that growth, Crexendo’s Board declared a quarterly dividend of half a cent per share. We did this for a number of reasons. The first is our strong cash position. The second is a way to demonstrate our belief in the future of the company. And also very important consideration is the dividend allows institutional investors who are required to invest in companies that pay a dividend to start making investments in Crexendo. The Year-End results show our team did a remarkable job of integrating the two teams. While the process is still on-going, the challenging work has been done. The teams are working as one. We have consolidated sales engineering, operations accounting and legal. We have had major advantages from the teams joining. We continue to move Crexendo telecom customers to the VIP platform. Our engineering teams work to provide the best of our Ride the Cloud and the NetSapiens platform. The result is the best cloud system in the business. The improvements we have worked on are a benefit to both the Crexendo and the software solutions customers. Not only did this improve our service, this will complete and save Crexendo from having to operate two systems which I can, I am convinced will improve our bottom line and margins. Our sales teams are working together. This increases our efficiencies as well as opening up bigger opportunities, such as the Mavenir partnership we recently announced. I expect this will be the first of many partnerships that emerged from our world class team. These types of partnerships are exciting as we are able to add products that round out our platform, make sales to enterprise customers easier while having our solution sold to new customers. We continue to learn from each other. We have strategically increased pricing and improved service, which will continue to improve our results. We are working every day to increase the efficiencies that our market and improve our margins. One thing we have in common is that everyone from our delivery driver to me, and the executive team wants to make sure that the best cloud services in the business is to provide the Crexendo and our software solution customers, we will settle for nothing less. My expectation of growing by 40% to 50% annually has not changed. And I am highly confident in the future of Crexendo. We continue to grow the business organically and we also look for appropriate accretive acquisitions. Now that integrating the teams is almost complete we can now increase our efforts to find the right opportunities. This is very exciting time for Crexendo and our shareholders. I know that we will be doing great things. I am as optimistic about the future as I have ever been. With that, I will turn the call over to Ron. Ron?
Ron Vincent: Thank you, Steve. I'll start with some financial highlights for the fourth quarter. Total consolidated revenue for the quarter increased 108%, $4.7 million to $9 million as compared to $4.3 million reported for the fourth quarter of the prior year. Our cloud telecommunications segment revenue for the second - for the quarter increased 19% or 803,000 to $5.1 million, compared to $4.3 million reported for the fourth quarter of the prior year. Software Solution segments revenues contributed from the NetSapiens acquisition for the quarter was $3.9 million. Consolidated operating expenses for the quarter increased $5.6 million, or 133% to $9.8 million compared to $4.2 million reported for the fourth quarter of the prior year. We reported a net loss for the quarter of 602,000 or $0.03 loss per diluted and common share. We reported a non-GAAP net income for the quarter of 592,000 or $0.03 per basic and $0.02 per diluted common share. And we reported EBITDA for the quarter of a loss of 102,000. Adjusted EBITDA for the quarter of 474,000. Now some year-end highlights for the full year. For the year, we reported a consolidated revenue of $28.1 million that's a 71% increase over the prior year. Total revenue of $16.4 million. Our cloud telecommunications segment for the year increased 19% year-over-year to $19.4 million compared to $16.4 million. Our software solutions segment revenue contributed from the NetSapiens acquisition for the year was $8.7 million. Consolidated operating expenses for the year increased 101% or $15.5 million to $30.9 million compared to $15.4 million for the same period of the prior year. Acquisitions during the year contributed $11.1 million of those additional operating expenses and acquisition related expenses contributed another $1 million related to the acquisitions reported in our general administrative expenses. Net loss for the year $2.4 million or $0.12 per basic and diluted common share. Non-GAAP net income for the year of $1.7 million or $0.09 per basic and $0.07 per diluted common share. Reported EBITDA for the year of a loss of $1.2 million, adjusted EBITDA for the year of $1.6 million. Our cash, cash equivalents and restricted cash balance at December 31 was $7.5 million compared to $17.7 million at December 31 2020. During the year we used $1 million for operating activities. We used $9.9 million for investing activities, primarily the business acquisitions we've completed during the year, and financing activities provided 650,000 of cash, cash equivalents and restricted cash. With that, I'll turn it over to Doug Gaylor, our President and COO for additional comments.
Doug Gaylor: Thanks, Ron. I'm very pleased with our Q4 and our year-end numbers that we reported today and these numbers are further testament as to why our merger was a great combination for both organizations. Our organic growth of 19% on the Crexendo Classic side of the business complemented by the strong revenue contribution from the Software Solutions Division propelled us to a 108% increase in total revenue compared to Q4 2020. For the year, our 71% year-over-year, growth was impressive. And our Q4 revenue of $9 million puts us on a $36 million annual run rate. Our impressive revenue growth combined with our diligence and effectively managing the business and expenses allowed us to post strong non-GAAP income for the quarter and for the year. We continue to see tremendous demand and growth in the UCaaS industry. And we are excited that we are on track to announce the number of end users using our Crexendo platform will exceed 2.5 million users in the very near future. As our Crexendo licensees continue to benefit from the rapid migration by small midsize and enterprise level businesses to the cloud, they need additional services from Crexendo which helps drive our organic growth on the software solution side of the business. Our unique sessions, Not Seats pricing model continues to drive new partners to our platform, and allows us to differentiate ourselves from our two largest competitors Cisco's Broadsoft and Microsoft's Metaswitch platforms, offerings which are significantly higher priced based on their cost per seat model of pricing. Our disruptive model now has over 200 licensees using our platform is also gaining significant traction in the European markets with eight new resellers added to our community from Europe in 2021. Our traditional Crexendo agent program continues to grow and we are excited to announce two large master agent partnerships over the last few months with Telecom Consulting Group, TCG and OTG consulting, both of which have already started generating sales. Our agent program highlights our Crexendo VIP offering powered by NetSapiens and has 100% uptime guarantee along with a lifetime warranty on our Crexendo firms. We continue to add new and larger agent partners to the program and are excited about the opportunities in the funnel that these new agent partners are bringing to the table. Our backlog continues to grow is now north of $41.7 million at the end of the year. Our backlog number now includes the software solutions backlog amounts as well as our Crexendo direct customers, and represents a 46% increase over our backlog numbers at the end of 2020. In addition, our UCaaS service margins remain in the 70% range as we migrate our accounts from our classic platform to our VIP platform. We've been very successful integrating our two organizations together and have already started recognizing many operational benefits and synergies from the combined company. Our tremendous engineering talent on both teams are already working well and benefiting from best practices. We released our Version 42 software in Q4 with great reviews and acceptance, and we are on track to release our Version 43 software at the end of Q2. Our engineering efforts were recognized last week as our platforms mobility and collaboration tools were awarded the 2022 TMC remote work Pioneer Award, and you'll see a press release on that relatively shortly. We continue to see synergies from consolidating our marketing efforts, and have had strong response from our attendance at conferences like General Partners and [Indiscernible] over the last few months. Our sales teams are benefiting from the exceptional industry knowledge and experience both organizations bring to the table and are complementing each other extremely well. We've consolidated all of our accounting personnel and are merging our accounting systems and our operations and customer service departments are executing on our plan to maximize efficiencies, productivity and cost. I'm very pleased with how our two organizations are coming together. And I'm very excited about our go-forward plans to continue to grow our organization and recognize even more cost synergies. With the acquisition costs associated with the merger and the amortization of intangible assets, we find that it makes more sense to manage the business based on our non-GAAP earnings going forward, and I'm very pleased that we were able to generate strong non-GAAP earnings of $592,000, or $0.03 per basic common share for the quarter, and $1.7 million or $0.07 per basic common share for the year. Our results for the quarter and for the year are strong proof that our combined organization has been able to quickly leverage the power and opportunity we have to grow and succeed together. I'm grateful to our fantastic combined Crexendo team that have come together with a tremendous amount of hard work and effort to make this a great and successful combination. We believe, we will continue to see more efficiencies and cost synergies as we continue our growth. We also recently announced our strategic partnership with Mavenir that Steve mentioned that provides both companies with an expanded portfolio of business services and advanced capabilities and enables each company to address unified communications as a service and business messaging and market growth. With this partnership Mavenir will integrate Crexendo Unified Communications as a service UCaaS platform with the Mavenir Connect brand. And in addition, Crexendo will be integrating Mavenir’s Contact Center as a service CCaaS and omni channel customer engagement chatbots and automations into our platform for larger call center applications. So as we start 2022, I couldn't be more excited about the future direction and opportunity for Crexendo, we had the perfect combination of tremendous demand for our product offerings, along with great solutions with a disruptive pricing model and an amazing talented combined workforce, and it positions us perfectly for the future. We're committed to delivering the best UCaaS offering in the industry to our customers and partners, and the best return for our shareholders. With our combination of our direct offering and our platform solution, we are now a major force in the industry, and we are positioned extremely well for continued growth and success. I'll now turn it back over to Steve for any further comments.
Steve Mihaylo: Thank you, Doug. And Catherine. We'll open it up to questions at this time.
Operator: Ladies and gentlemen, the floor is now open for questions. [Operator Instructions]. Your first question is coming from Josh Nichols with B. Riley. Your line is live.
Josh Nichols: Yes, thanks. Just have a quick question. Good to hear the integration is going well. How many of the customers have been moved over to the NetSapiens platform today. And then, I'm just trying to get a handle, gross margins came in at 59% for the fourth quarter, is that expected to increase as you move throughout 2022 or what's the margin expansion opportunity for this year?
Steve Mihaylo: Well, first of all, Josh, we had about a $1 million of integration costs that will no longer be there going forward. As far as the folks that have moved on your VIP platform, I'm going to let Doug handle one.
Doug Gaylor: Yes, migration is going well. But we've got almost 4000 customers on our classic platform. And so it's obviously a - it's a laborious task to get them all migrated over the course of time. So we're doing those as their contracts come up, and we're renewing them for new terms. And so right now we're probably 15% of our customers have migrated over. And we've got that as just a staged migration plan. So it's moving, moving customers from the left pocket to the right pocket. So, it's really a effort of getting it migrated over smoothly and efficiently so the customers don't skip a beat.
Josh Nichols: And then could you elaborate a little bit about some of the kind of strategic partnerships for the reseller as a master agents? I'm kind of curious, like you mentioned Mavenir, like, what's the opportunity to do business with them? They're obviously a larger master agent. Could they be a significant needle mover or where do you fit into relative to their current portfolio of offerings?
Steve Mihaylo: I'm going to let Jon Brinton handle that one who's our Chief Revenue Officer.
Jon Brinton: Yes, thanks, Josh. Yes Mavenir actually, interestingly, is a supplier of network infrastructure to about 250 mobile network operators globally. So what's different there is that's a market we hadn't addressed before. They support 4 billion subscribers on wireless networks globally and they're replacing their own product which was their Mavenir Connect 1.0 with our product that they'll be launching as Mavenir Connect 2.0, so the channel opportunity is having them actually take our technology and OEM that or deliver it to the mobile network operators that they do business with. So that's a significantly different market than we've served before. It's a new market. That's very exciting for us. And we're looking forward to a more global partnership with them.
Doug Gaylor: And on the flip side, that’s - Josh, the TCG and the OTG opportunities, TCG has over 6000 agents out there selling different telecom type services. And so we're extremely excited about where that opportunity has, has the potential to take us. Again, just having the Crexendo offering out there in front of 6000 potential agents to sell our services to potential end users is pretty tremendous opportunity. OTG, much smaller in scope, but still very great opportunity for us to get with their agents on opportunities that they're selling. We've got a tremendous differentiating factor we have our own platform, it’s the fastest growing UCaaS platform in the country. And so when we talk about having nearly 2.5 million users using our platform, that's a huge selling point for these agents when they're out there and have a choice of selling us or some of the other smaller providers out there. That gives us an instant credibility when they're out there pushing a solution.
Josh Nichols: And then last question for me. So you've had the - right, complete the acquisition in June. So you got two full quarters. Now after the NetSapiens deal is closed, but if I look at like the service revenue in the software solutions, revenue, up around 1%, quarter-over-quarter. What's going to be the key catalysts this year that could get that to improve and any clarity you could provide in terms of kind of revenue guidance or KPIs that you're trying to hit this year on the top line.
Steve Mihaylo: I'm going to let Anand, Jon and Doug answer that one. But one of the things I can tell you is, when you're selling to software licensing customers, which a lot of our customers over 200, as Doug pointed out, it's a longer sales cycle. And you're going to see ups and downs, and the trend is going to be up. But you will see ups and downs. More importantly, as our backlog is almost $42 million and a lot of the increase came from NetSapiens group, which, of course we're going to rebrand that over time. Do any of you want to step in and answer that Doug?
Doug Gaylor: Yes, I think when you look at the opportunity for growth out there, Josh, new partners, especially master agents take a little time to cultivate. We see a tremendous opportunity for growth there. We're continuing to bring on new agents that are selling the Crexendo Solution on the direct side of the equation. So as we continue to bring on new agents we’ll see increased opportunities there, again, that that ramp up time to bring on new agents and get them up to speed on our platform takes a little bit of time. And as Steve said, that new logos on the software solution side, that's a that's a longer sales process, because these are businesses that are either leaving a Broadsoft or Metaswitch or starting out as a UCaaS offering from scratch. So it takes a lot of time and effort for them to get their ducks in a row to make that happen. But we see a tremendous opportunity to continue that, that growth, obviously with putting two companies together. And we've been focused on getting all of the integrations done and all the synergies going. And so ramping up sales and ramping up our marketing efforts is going to be critical going forward.
Anand Buch: And Josh, maybe I'll add one, one key point here is that what we're continuing to see is actually a big uptick in the recurring revenue side of the business. And so as more and more goes to as a service more and more goes to infrastructure as a service, so on and so forth, while the value of that revenue can continue to go up, the lumpiness of that from a licensing perspective will change as well. And so again, this is kind of well-planned and well understood. But that's also a little bit of a transition that's happening now as well as we take on more and more recurring revenue, which kind of affects the top line from a non-recurring standpoint. But again, is more valuable for the business.
Josh Nichols: Thanks, then last question for me, then I’ll hop back in the queue. Any - how are you guys dealing with the supply chain constraints. I know hardware is not a huge piece of the business but you do have some because you have your own phones, right? Has that been an issue? Are you well stocked as it stands today or any comments?
Doug Gaylor: Yes, it hasn't been an issue, knock on wood, to date. So we do have plenty of inventory in stock. We do have our Crexendo branded phones. And we also support just about, I think, last count was what about 167 different types of models of phones out there. So, even if we were to run into issues, which we haven't yet, there's plenty of options available for us out there. So, when we look at the amount of phones that our platform supports today, I think we support more phones than any other platform out there. So it gives us plenty of options. But right now, it hasn't been a challenge for us. And we hope, that's going to continue to be the case. We have seen a tremendous uptick in our costs for shipping and delivery. And some delayed timeframes there. But we were planning ahead for that a year ago, and we kind of saw some of these things coming down the road. So it hasn't affected us to this point.
Steve Mihaylo: And, Josh, just to clarify one more point. We're seeing a slight downward saleswise in desktops, and people are going more to the app, the mobile app. Obviously, this is only about half a percent or 1% at this time. But if this trend continues, we'll need less and less inventory. And our margins will come up a little bit and talking about margins, you're probably not going to see until the second quarter, any effort from increasing the pricing and folks coming off of contracts, and so on and so forth. That will add to margins as well. So margins will be increasing this year and next year. And our goal is to get them to where they were prior to the acquisition.
Josh Nichols: Thanks. That's all for me.
Steve Mihaylo: All right. Catherine, do you have another question.
Operator: Your next question is coming from Eric Martinuzzi with Lake Street. Your line is live.
Eric Martinuzzi: Congratulations on the transformation of the year in 2021. I wanted to come at the revenue question from another angle, the services revenue at about $4.3 million now for three straight quarters. I understand the on-boarding of that new customers can be a little bit lumpy. But what about from the other side of the equation, do you have any statistics on the either retention or churn that you can share with us either on a quarterly or annual basis?
Steve Mihaylo: Doug will answer that one.
Doug Gaylor: Retention is still is still fairly high compared to the industry norm. But we did see an uptick. We don't have the final numbers for turn percentages for 2021. But 2021 did see a higher percentage of churn than we did see in 2020. I think some of that was pandemic related with businesses. Again, our average sized customer out there is 21 stations. So in that SMB market, we did have customers that either went out of business or merged or got acquired, and so we did see a little bit of an uptick and turn that considerable, but it was enough to lead to some concern on that small midsize market and their viability out there. But we still have plenty of customers out there. We think the churn is really plateaued. And so I don't anticipate any higher amounts of churn. And we're doing a lot with our customers. I'm giving them incentives to migrate to our VIP platform. And so that's giving customers that technology refresh so to speak, as we move them from one platform to the other.
Steve Mihaylo: Those answer your questions, Eric.
Doug Gaylor: Catherine, are you still there?
Operator: Yes, his line is connected. Would you like to move to the next question?
Steve Mihaylo: Yes. And if he comes back on we can put him back in the queue.
Operator: You're not next question is coming from Andrew King with Colliers Securities. Your line is live.
Andrew King: Hey guys, thanks for taking my question. First off what was behind the driving force of the product growth this quarter? Obviously, we typically do see a pretty significant step up in Q4 in products. But in past years, it's been more in the range of 30% to 40%. And now we're starting to see it consistently hit above 500,000, quarter of each quarter and new growth 55% growth in that area. So just want to get an idea what's going on specifically in the product. And how much of that is new customers versus customers refreshing old hardware?
Doug Gaylor: Yes, I think it's more I think it's more in the latter Andrew as we see customers coming up for renewal after they've been with us for four or five years, and they have older phones, we're migrating them to the VIP and to be doing a technology refresh, which means that we're going out to them. Similar to your cell phone, if your plan comes up on your cell phone, and you've got an iPhone 8, and it's time to get your iPhone 13. You know, it's really easy for you to go into the store and, and get an upgrade and keep your pricing relatively the same, if not even more attractive. And so we do a lot of that with our customers today. And so those technology refreshes and are really spurring on additional product sales, because in many of those cases, those customers are upgrading to newer color display sets, the touchscreens etcetera. And so that's been probably the main driver behind some of that increase in product over the last couple of quarters.
Andrew King: Got it? And then how should we think about customers refreshing their hardware going forward, then do you believe that the majority of customers have already refreshed the hardware and that happened in the last two quarters? Or is this just a small portion that's currently refreshed?
Doug Gaylor: Now, I think we've, it's very, it's very consistent for us, customers that we sold five years ago to the month are renewing now and customers that we sold five years ago, to the month in December will be coming up towards the end of the year. So, guys, I see that that technology refresh is very successful. For us, it's very advantageous for our customers. So I don't see that slowing down. So you could see that product revenue, staying in a fairly even cliff, probably over the next few quarters.
Steve Mihaylo: I think an important part to add there is that the change in the technology in the last three years. So our devices now have Bluetooth capabilities, Wi-Fi capabilities. So you don't have to have ethernet cable in your house. If you want to have a home office, you can put that desk on your kitchen table if you'd like and connect it to Wi-Fi. So the technology increases and the development has spurred a resurgence and purchases of desktops to get that latest technology, the color display the touchscreen, Wi-Fi and Bluetooth. And so I think that's the driving force something behind the technology upgrades as they move to the Crexendo VIP.
Andrew King: Great. In the prepared remark, I think its impressive [ph] to say that you were targeting between 40% and 50% year-over-year growth on annual basis going forward. For the next year, can you give us an idea of how much that's inorganic versus organic, organic how you plan on changing that?
Steve Mihaylo: Andrew we have stated that approximately half of it'll be organic and half of it will be through acquisitions. We're seeing more and more folks that are interested or at least talking to us. We haven't consummated any deals yet. But more and more folks are talking to us out of the pharma NetSapiens group. And as you know, there's still 100 customers or companies in that group and 200 plus. And there is a huge, huge fishing pond for us to work on. Did you want to add anything, Doug?
Doug Gaylor: No I think that sums it up perfectly.
Andrew King: Great. And then just one final one, Matt in their partnership really sound exciting, if you’re done certainly to -- into a new market. He's got an idea that timeline of when you expect them to get ramped up and starting to sell into their base.
Steve Mihaylo: I'm going to let Jon Brinton answer that.
Jon Brinton: So a couple of things. The go-to-market with Mavenir is twofold. It's to their service provider base, and it's also to their Mavenir enterprise division. So their Mavenir enterprise division is actually spotlighting our UCaaS as part of their combined solution this week at Enterprise Connect in Florida. So we're excited about them quickly taking that into their offer with the service providers. And as you can imagine, the mobile network operators these are some of the largest M&Os on the planet, that does tend to be a longer term sales cycle, we're already seeing invitations for competitive bidding, and in beginning to get our commercial motion, moving with them, but those tend to be longer sales cycles, and do take a longer period of time than a lot of our traditional sales. So we'll ramp that up over the next quarter or two. But for both of us, we're doing joint training on the solutions. Now with our sales teams, we're pushing the roll out of both sides of the agreement. And as I said, they're already promoting our solution as part of their offer this week at Enterprise Connect. So we're happy with how quickly they've embraced this and made the decision to adopt our solution as their UCaaS platform going forward.
Andrew King: Great. And just one quick clarification, that partnership is on the organic Crexendo B side, not on the NetSapiens side, correct?
Doug Gaylor: Maybe I'll touch on that. It's actually it's actually both, and this is on and by the way. And so what we, what we see is the opportunity both for licensees from Mavenir perspective, and the NVNO's that would, you know, in essence try to compete against the likes of when we compete against the likes of the Microsoft's in the Metaswitch community, if you will. So these are service provider opportunities, as Jon spoke to. And then on this on the CCaaS side as well the integrations that we're looking at from a CCaaS perspective are also opportunities that we can turn around and offered to the NetSapiens community of service providers that can leverage those integrations to go to market as well. So it's twofold there.
Steve Mihaylo: Well, we can also offer the CCaaS to our end users, is that correct?
Doug Gaylor: That's correct.
Steve Mihaylo: So as you see, Andrew, it's it goes both ways. It's kind of a ying and yang, a push pull.
Andrew King: Great, thanks for taking my question guys, because you can pull out a pointer.
Doug Gaylor: Thanks Andrew.
Steve Mihaylo: Thank you, Catherine.
Operator: Eric has re-joined the queue. Eric, your line is live.
Eric Martinuzzi: Hey not sure what happened there. But appreciate you giving me a second shot at this. The -- you talked in the press release.
Doug Gaylor: That's why you need a Crexendo Solution for your office there, Eric. So we'll give you a follow up call afterwards. And we'll get to we'll get you taken care of so your system doesn't die on.
Eric Martinuzzi: I love the prosecuting the lead gen opportunity there, Doug. Okay, so efficiencies, expenses and price increases, I want to learn a little bit more about price increases. Are price increases already in effect? Are we talking about the services side of the business? When you know, this is something that I imagined, hey, the price increase goes into effect as of a certain date. And that's with new customers, but maybe old customers don't see it until they re-up their annual gig, what's -- tell me how price increases flow through?
Steve Mihaylo: Well, let me handle that. And then I'm going to turn it over to Anand. First of all, all the new customers are at the higher pricing. They don't know that it's higher, but it is. And the existing customers when they come off of contract, they're looking at a substantial increase. I'll turn this over to Anand.
Anand Buch: Sure I'll touch on the software licensing piece. And then Doug, you can touch on the services side. But one key thing is that, even prior to the combination with Crexendo, our prices consistently kind of grew. We're growing over time. And, and our clients have been aware of that, because the other thing that you see is that the value that we're providing to the market continues to grow as we add features, add services, add enhancements to the platform, so that trajectory of increases continued. But to Steve's point, from a contractual standpoint, it's when either folks are transitioning, or if you will, moving from one contract to the next contract, upgrading and/or new logos that are coming in. So again, this is something that, has been a pretty common practice, obviously, at the moment, we're seeing a lot of pressure in terms of reinvestment into, into the product and the software so that that in itself requires, additional funding to make that happen. And so some of the, some of the some of the price increases are simply warranted from the standpoint of being able to provide better services and better products out to the community.
Doug Gaylor: And I think on the direct side of the equation and obviously as I mentioned the shipping costs have gone up tremendously and so product costs have gone up a little bit. So those increases have taken place, those are already in place. So, so we don't anticipate those having any challenges customers have received those well, and when we add new features and new capabilities, we're seeing an opportunity to increase prices there as well. So when we come out with new API applications, for example, we've got a team's integration now. And that's, that's selling extremely, extremely well. So customers that are using teams today are investing in not only our solution, but buying teams integration per license, which tends to add that average revenue per user increases that pretty considerably. So when we see opportunities for selling additional API's, we're seeing an opportunity for additional revenue streams coming from that as well.
Eric Martinuzzi: Okay, and the question I got cut off on was regarding the that services revenue line? And is your expectation that Q1 services revenue will be up sequentially versus Q4 services revenue, taking into account the lumpiness of a business and retention that you've talked about earlier?
Doug Gaylor: Yes, right now we're seeing services revenue is not seeing a tremendous increase. So hard to tell, we don't used to give forward statements for the quarter. But I mean, services revenue has been, pretty consistent, where we see that lumpiness is more in in the software solution side of the house where we might get a large order at the end of a quarter, and it takes, six to eight weeks for us to get it installed. And so those are typically longer timeframes to get some of those on the software solution side. But right now, we see fairly consistent growth on both sides of the equation.
Steve Mihaylo: And correct me if I'm wrong, Ron. On the software side, we aren't able to recognize the revenue until it's installed a second….
Ron Vincent: Correctly.
Steve Mihaylo: Yes. So that's what causes the lumpiness.
Eric Martinuzzi: Yes. Understand. Okay. And then last question for me is on the gross margin. Ron, you've talked in the past about a we knew when we were when we acquired NetSapiens, our gross margins were going to decline a bit. But over time, we were going to work them back towards the 65% to 70% range. I was expecting a little bit more progress here in Q4 versus, what we wound up putting up, but what can you tell us about that 65% to 70% range? Is that still realistic? And how should we model as far as the progress in 2022?
Ron Vincent: Yes, I think it's realistic. And we we've learned a lot over the last seven months through 1231, as we integrated the accounting systems and the accounting teams and work through that the purchase price allocation, really dug in and understood, what we got here. We've got some work to do on the R&D front of the or the maintenance in efforts that are put into the product and feature functionality development to establish some processes and procedures around tracking time in order to allow for us to either do some software capitalization, or to re-class between that engineering time, between cost of sales and R&D. What you're noting now is that the majority of that time is, is not being tracked separately, and, and therefore, it's ending up in cost of sales, because it's difficult to distinguish between how much time is being spent on new feature functionality and how much engineering times on bug fixes and just annual updates, maintenance and customer support operation. So that's the hard part there. So as we go over the next quarter or two, I think we're going to be digging deeper into that and establishing those policies and procedures so that we can differentiate that time and allocate that to R&D, and then potentially even some software development capitalization for a new product development, if that arises. So I think once we're able to do that, then we'll stop dumping all that engineering costs into cost of sales, and therefore it will improve our margin to be able to get us back to that 65% to 70% margin.
Eric Martinuzzi: Got it. Thanks for taking my question.
Operator: Yes. Your next question is coming from Chris Sakai with Singular Research. Your line is live.
Steve Mihaylo: Hi good afternoon, Chris.
Christopher Sakai: Hi. Good afternoon. I just had a question on, so the Mavenir partnership. If and could you guys provide any sort of ballpark amount of revenue contribution that could give and, going into 2022 how many more partnerships like this would you -- are you looking at?
Steve Mihaylo: Well, first of all, we don't give forward-looking information. But this is like, I'm priming time. Obviously, it's going to lead to bigger and bigger partners. And I'm going to let Jon and Doug handle that one, cause adding some color.
Jon Brinton: Yes, I would just say, Chris, as we indicated before that -- with this market it's a longer term sale cycle. So that we're, we'll be addressing it over time, we aren't, we aren't forecasting that. We are constantly looking for other strategic partners that we can add. Although this is pretty unique to be partnering with somebody who touches half the mobile subscribers in the world, or 4 billion different mobile users that touch their technology, that's a, it's a different partner than you would find in most cases. So just understanding that we will look to continue to build out our partnerships, every quarter, we're adding new partners on the platform side, in our retail offerings on the Crexendo VIP side. So we're constantly recruiting, adding and building our partner programs. And we'll continue to do so.
Steve Mihaylo: Doug, do you want to add anything?
Doug Gaylor: I think that's, that's a good summation. And we're extremely excited about the opportunities. But just as I said, with the master agency of these take a little bit of time to make, but they're rolling out our UCaaS offering as we speak over the course of the next 30 days, 45 days. And we'll be doing somewhere with the CCaaS offering. So the revenue opportunities should start should start showing up in our numbers relatively quickly.
Christopher Sakai: Great, okay. And I know you mentioned your backlog is $42 million. Can you write any color on that as far as how much of that is usable in 2022?
Ron Vincent: Yes, so we present our backlog in our notes or footnotes into that backlog.
Steve Mihaylo: It's actually 41.7.
Doug Gaylor: Yes, Ron's go to the 10-K now, so although he spent the last 72 hours without sleeping, writing it, he's got to find the right page.
Ron Vincent: I got it, I got the right page here. So for 2022, we're looking at just over 19 million in 2022, you'll see a five year run out schedule that shows that 41.7 million over the five year period.
Christopher Sakai: Okay. Great. And I started, I guess any future acquisitions or concerns? Do you see anything possible in this year?
Doug Gaylor: Yes, I mean, the opportunities out there are pretty pretty nice for us right now. We've got lots of irons in the fire. And so, I anticipate that we should be able to announce something this year. But obviously, there's a lot of factors that go behind that. But we've got discussions going on and when we get to one that is to the finish line, you'll be the first to know but we're excited about the opportunities that are in the funnel. And to we're in a position where we really have the opportunity to look at what's the best fit for the organization from a growth perspective. So that's kind of where we are as we evaluate those opportunities.
Ron Vincent: And to clarify, you won't be the first to know you'll be the first of everybody to know at the same time.
Christopher Sakai: Great. Okay, well, thanks.
Ron Vincent: Thanks, Chris.
Operator: Your next question is coming from Michael Kaufman with MK Investments. Your line is live.
Michael Kaufman: Steve and guys, I want to congratulate the team for doing an incredible job of kind of moving the ball forward, maintaining incredible revenue growth and getting kind of near profitability, which was kind of your strategy. I think would be helpful to be able to quantify because you have a unique pricing model against Cisco and Microsoft, because you don't have that huge installed base. And therefore you can undercut them with a different kind of strategy. And if you can be able to quantify that for the world, what's the total available market to you with migrating part of the business? So that kind of strategy that would be helpful and getting people to understand that this company could be a lot bigger than a breadbox and should be worth a lot more than $90 million?
Steve Mihaylo: Everything you've said, Michael is absolutely true. We consider the market worldwide is what we're looking at to be several hundreds of billions of dollars is that correct?
Doug Gaylor: Gartner puts the UCaaS, CCaaS market at about $180 billion by 2024. So…
Steve Mihaylo: Yes, that's, let's call it $200 billion. And as you know, we've just got a crumb of that right now.
Michael Kaufman: Yes, and you have an infinite -- penetration. But, an important thing, if you want to buy other companies is to have a very large market gap. So you have to be able to explain this opportunity to the investing world. So they share some of the enthusiasm that I have for the company. Well, best kept secret.
Steve Mihaylo: Yes, there's and tell all your friends.
Michael Kaufman: I am, I am.
Steve Mihaylo: But there's, there's a couple of things that go into this equation. Our small dividend is part of it, so that we attract institutional investors are. We're absolutely the lowest valued company, for our size of any of the bigger ones. And we're growing at a much faster rate. You put all that together and $200 billion minimum market, just for the software market, it's got to be bigger for the entire market. You put all that together and there's no way that we can miss. You know…
Michael Kaufman: I'm saying that now is not the time to do public financing, because valuations don't reflect the opportunity. But so I would focus on building these great relationships and showing that you can start to improve margins, you're going to still grow at a very rapid rate, and do whatever you can to be able to explain this opportunities of the rest of the investment community, because you're going to grow into a great valuation company.
Steve Mihaylo: Yes, and we're going to do all of that, just so you're well aware of that.
Michael Kaufman: I know you're going to make it happen.
Doug Gaylor: And the only thing I would add Michael to your question, I mean, Broadsoft, Microsoft Broadsoft, from Cisco, and Metaswitch from Microsoft have 1000s of resellers out there selling their platforms. There’s 10s of 1000s of MSPs. And, and other providers out there. So, the list of opportunities when we talk about having 200 service providers, that's just a drop in the bucket. There's lots of service providers and lots of opportunity there. So there's no shortage of opportunity for us now and in the future.
Michael Kaufman: Alright, well, we, I certainly wish you the best of luck. And I know, you will continue to prosper.
Steve Mihaylo: Thank you.
Doug Gaylor: Thanks, Michael.
Operator: We have no further questions from the lines at this time. I would now like to turn the floor back to Steve Mihaylo for closing remarks.
Steve Mihaylo: You know, Catherine, thank you. My closing remarks are the last sentence of my prepared remarks. And that is I'm very, very, very, very optimistic. And with that, we're going to all go back to work and get ready for the first quarter conference call which will be in about a month and a half from now. I can't say exactly how when it'll be but with that. We wish you all a very pleasant evening and a good weekend and we'll talk to you again and about six or eight weeks.
Doug Gaylor: Thanks everybody